Operator: Good morning. And thank you for joining the Greenlight Re Conference Call for the First Quarter 2015 Earnings. Joining us on the call this morning are Bart Hedges, Chief Executive Officer; Tim Courtis, Chief Financial Officer; and Vinit Sethi, Director of Research of DME Advisors. The company reminds you that forward-looking statements that maybe made in this call are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not statements of historical facts, but rather reflect the company's current expectations, estimates and predictions of our future results and events and are subject to risks, uncertainties and assumptions, including those enumerated in the company's Form 10-K dated February 17, 2015, and other documents filed by the company with the SEC. If one or more risks or uncertainties materialize or if the company's underlying assumptions prove to be incorrect, actual results may vary materially from what the company projects. The company undertakes no obligation to update publicly or revise any forward-looking statements, whether as a result of new information, future events or otherwise. I would now like to turn the conference over to Bart Hedges. Please go ahead, sir.
Bart Hedges: Good morning. Thank you for taking the time to join us today. In the first quarter of 2015 Greenlight Re generated small underwriting profit and a loss in our investment portfolio. Overall, our fully diluted adjusted book value per share decreased by 2.2% from the prior quarter end. Our combined ratio for the first quarter of 2015 was 101.5%, compared to 102.9% for the full year 2014. Several new business wins resulted in an increase in written premium for the quarter as compared to the first quarter of 2014. Our four core areas, non-standard automobile, Florida homeowners, employer stock loss and catastrophe retro represented 79% of the earned premium for the quarter and generated a composite ratio, which is the loss ratio plus the acquisition cost ratio of 92.9%. The composite ratio for the entire book of business was 95% for the quarter. There were no significant property catastrophe events in the quarter and thus our catastrophe retro account continues to perform well. As we mentioned to you on our last call, we repositioned the catastrophe retro book of business from excessive loss to quota share. We believe that there was less competition for quote share business and that that we were able to achieve better risk adjusted advising. One results of this repositioning is that the premium for the quota share contract will earn over longer period of time than excessive loss contracts. With respect to our property catastrophe aggregates, our maximum exposure to a single event is currently $157.7 million and our maximum exposure to all events is $213.5 million. As a reminder, we measure our aggregates at the maximum amount of limit available less the amount of reinstatement premiums due, we do not use them at modeled, probable, maximum loss or P&L approach. The market remains competitive in all areas, but we are having success finding new business in long-tail casualty, medical stop loss, a [tech care program] [ph] and the catastrophe retro. The long-tail casualty deals are quote share contracts of direct insurers writing casualty business and some quote share of other reinsures casualty portfolios and our growing portion of our overall portfolio. The underlying exposure is a mix of professional liability and excess general liability. This business will bring a slightly longer duration to our overall loss reserve, which will in turn create investable flow. The new medical stop loss deal is a quota share reinsurance for the healthcare writer, which distribute through various managing general underwriters in the U.S and the [tech care program] [ph] is a startup of new managing underwriter led by an established industry veteran. We are pleased with each of these new wins and we continue to have a solid pipeline of new business opportunities. Our customer-centric underwriting strategy, speed of execution and innovative ideas continue to differentiate us in a highly competitive environment. I’m pleased with our overall progress and believe we are well-positioned for the rest of the year. Unfortunately, David Einhorn cannot join us today. He had a death in the family and is currently in transit. I’ve asked Vinit Sethi, Director of Research of DME Advisors to take us through the quarterly investment performance.
Vinit Sethi: Thanks Bart and good morning everyone. Greenlight Reinvestment portfolio was down 1.8% in the first quarter. At longs, led by Apple and SunEdison, outperform the market. Our shorts went against us by more than our longs gained and macro positions were slightly negative. Apple’s iPhone 6 has proven to be a blockbuster product that is driving extraordinary revenue and earnings growth. SunEdison announced that they will generate significant free cash flow sooner than the market anticipated. Our biggest loser in the quarter was Micron. PC DRAM prices weakened in the most recent period as PC sales declined. We are watching closely to see how the industry’s three players react to the current oversupply. The portfolio continued to underperform in April with a loss of 0.4%. During the quarter, we exited a few conditions, including three shorts that we bought out and the remaining stake in our successful long investment in Aetna. We established a few new long positions in the quarter including AerCap, an Airline leasing company. Chicago Bridge and Iron, an energy -- an engineering and construction firm that is down quite a bit along with the price of oil that has a significant multiyear backlog and we reestablished a position in General Motors. All three companies traded about eight times this year’s expected earnings. We also added several new shorts including shale oil frackers and increased our short exposure from 67% at December 31 to 88% as of March 31st. The investment portfolio’s net exposure was 16% at quarter end which is near an all-time low and reflects our concern about stretched valuations and challenges we see for corporate earnings in 2015. These challenges include the strong dollar, lower oil prices and difficult year-over-year comparisons in the next three quarters. Another issue that has worried us and is less discussed is the product community bust and its impact on peak margins. Labor hours are growing faster than GDP. Companies like Walmart and McDonalds are raising wages suggesting that the low end of labor market is tight. These issues lead us to believe that earnings have peaked and may even shrink this year. We are proceeding with caution and that also we aim to generate from the mix of long and shorts drive our results. Our current thinking is that 2015 is setting up to be a challenging environment and we are positioned accordingly. Now I’d like to turn the call over to Tim to discuss the financial results.
Tim Courtis: Thanks Vinit. For the first quarter 2015, Greenlight Re reported net loss of $24 million compared to a net loss of $8.9 million for the comparable period in 2014. Net loss per share was $0.65 for the first quarter of 2015 compared to a net loss of $0.24 per share for the same period in 2014. Gross premiums written were $129.7 million during the first quarter of 2015, an increase of 9.1% from gross premiums written of $118.9 million in the first quarter of 2014, primarily a result of increased writings of passenger auto business as well as increases in professional and general liability writings. Our net earned premiums of $94.8 million decreased by approximately 15.1% from a $111.7 million reported in the first quarter of last year. While premiums written have increased, most of the earnings of these premiums have yet to occur over the underlying contract risk periods. A decrease in premiums earned over the prior reporting quarter is primarily attributable to the effect of writing a reduced share of Florida homeowners' contracts, which will renew in the middle 2014, as well as changing some of our cat retro book to quota share contracts from excess of loss contracts. The composite ratio for the first quarter 2015 was 95%, compared to a composite ratio of 94.1% during the comparable period in 2014. The composite for frequency business for the quarter was 98.4% and it was 50.4% for severity business. General and administrative expenses incurred during the first quarter 2015 were $6.2 million, virtually the same compared to the prior year period. However, given the lower earned premiums during the first quarter of this year, the expense ratio of 6.5% was higher than the expense ratio of 5.5% reported in the prior year quarter. Overall, the combined ratio for the first quarter 2015 was 101.5%, compared to 99.6% reported in the first quarter of 2014. We reported a net investment loss of $24.8 million during the first quarter of 2015. Our overall investment portfolio managed by DME Advisors reported a loss of 1.8% for the quarter. The fully diluted adjusted book value per share as of March 31, 2015 was $30.09, a 9% increase from $27.61 per share, reported at March 31, 2014. At a recently held Board of Directors Meeting, the Board approved a renewal of the company's current share repurchase plan, which expires on June 30th of this year. The plan provides for a repurchase authorization of 2 million shares and expires on June 30, 2015. There were no shares repurchased during the first quarter 2015. Greenlight Re held its Annual General Meeting on April 29th. I'm pleased to report that all seven proposals contained in the proxy were approved by shareholders, including the reelection of all directors for additional one-year term. I will now turn the call back to Bart to provide some concluding remarks.
Bart Hedges: Thanks, Tim. Our goal is unchanged. We aim to build long-term shareholder value by writing a concentrated underwriting portfolio with the best risk-adjusted returns we can find and to utilize the float generated from these contracts to invest in our value-oriented long, short investment programs. This investment approach has historically generated superior returns with less volatility than the overall equity markets. We will continue to execute on this strategy and remain focus on driving our key yardstick, increased fully diluted book value per share. We appreciate your continued confidence in Greenlight Re. Thank you again for your time and now we would like to open up the call up for questions.
Operator: [Operator Instructions] Our first question comes from Brian Meredith from UBS. Please go ahead.
Brian Meredith: Hey. Good morning, everybody. Bart, I’m wondering if you could just quickly comment on the IRS proposed PSEC regulation and will that have any bearing at all?
Bart Hedges: I am actually going to pitch that one right over to Tim.
Tim Courtis: Yes, Brian, good morning. Yes, as I am sure you are very aware the reinsurance industry, and in fact the insurance and reinsurance industry as a whole are very interested and keeping a close eye on what’s the treasury and the IRS has proposed. Fair to say that when they came out with those regulations, we’re interested in what they had to say, clearly they are looking for discussion and industry input on it. We are working with the RAA as members who stay on response to the industry and we are going to monitor what’s going on. In some aspect, it was encouraging as they’re talking about active insurance business and certainly with the number of people and the activity that we do and came in from the reinsurance perspective seems clear to us that those tests should not cause a problem for us. But as with everybody in the industry, we are keeping a close eye on it and providing input as needed.
Brian Meredith: So the industry proposals at least which was outlined, it wouldn’t be a concern but obviously with keep an eye on it?
Tim Courtis: Correct. And obviously, it’s a first wrap and there will be iterations of it and we will keep a close eye on it and provide feedbacks.
Brian Meredith: Got you. Excellent. And Bart, just curious, you mentioned medical stop losses is an area that you have been writing some more business in. I am just curious your thoughts around that market, how you’re controlling potentially escalation here, medical cost inflation, etcetera, etcetera.
Bart Hedges: This is an area of the business that we have been in for quite sometime. I think we started writing it back in 2007. And in terms of the medical inflation, the numbers from a pure inflation perspective haven’t been too bad. There has been -- we are more concerned I guess about utilization as a result of new people entering the system. But the medical staff loss side of the business, I don’t think is a susceptible to that particular type of utilization type of trend. We haven’t seen a growing demand for the product, because there is a lot of employers who are looking for ways to opt out if you will from the Affordable Care Act and becoming a self-insured employer is one of the ways out of that. So we have seen a growing demand which I think is playing well for us because this is a space that we know pretty well.
Brian Meredith: Great. And then last question. Bart, can you give me your thoughts on the current state of the Florida kind of homeowners quota share market, kind of what your thoughts there? Are there any opportunities there or do you think that market will shrink here going forward or some of those guys maybe retain more business?
Bart Hedges: Yes. I think there will be a couple things happening. Number one, it will be competitive, but I think competitive the last few years. The lack of big storms and the reduction in the catastrophe, reinsurance costs have made the balance sheet for a lot of these companies more stable. So I would expect that some of these carriers, who have traditionally bought, maybe will buy less. I think we are well-positioned with the strategic partners that we have in that area to, at least, be able to compete well for the business and maybe we have a few ideas that will put us in a better position. But I would expect it will be a fairly competitive renewal season.
Brian Meredith: Great. Thanks for the answers.
Bart Hedges: Sure. Thank you.
Operator: And our next question comes from Eileen Aptman of Belfer Management. Please go ahead.
Eileen Aptman: A question for Vinit, given the view on the productivity thus than the attendant pressures and unit labor costs, give us a sense of your perspective on goal?
Vinit Sethi: We are still positive on goal. We consider it to be as we have in the past a useful hedge in our portfolio.
Operator: [Operator Instructions] Should you have any follow-up questions, please direct them to Garrett Edson of ICR at (203) 682-8331 and he will be happy to assist you. We also remind you that a replay of this call and other pertinent information about Greenlight Re is available on our website at www.greenlightre.ky. The conference has now concluded. You may now disconnect. Thank you and have a nice day.